Operator: Welcome to ManpowerGroup Fourth Quarter Earnings Results Conference Call. All participants will be on listen-only mode until the question-and-answer session begins. This call is being recorded. If you have an objection, you may disconnect at this time. Now, I'll turn the meeting over to your host, Chairman and CEO, Jonas Prising. Sir, you may begin.
Jonas Prising - Chief Executive Officer & Director: Good morning and welcome to the fourth quarter 2015 conference call. With me is our Chief Financial Officer, Mike Van Handel. I'll start our call by going through some of the highlights for the fourth quarter and then Mike will go through the details of each segment, the relevant balance sheet items, cash flow, as well as forward-looking items for the first quarter. And then I'll be back for some additional thoughts before our Q&A session. Before we go any further into our call, Mike will now read the Safe Harbor Language.
Mike Van Handel - Executive Vice President & Chief Financial Officer: This conference call includes forward-looking statements, which are subject to known and unknown risks and uncertainties. These statements are based on management's current expectations or beliefs. Actual results might differ materially from those projected in the forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements can be found in the company's Annual Report on Form 10-K and in the other Securities and Exchange Commission filings of the company, which information is incorporated herein by reference. Any forward-looking statement in today's call speaks only as of the date of which it is made and we assume no obligation to update or revise any forward-looking statements. During our call today, we will reference certain non-GAAP financial measures which we believe provide useful information for investors. We include a reconciliation of those measures where appropriate to GAAP on the Investor Relations section of our website at manpowergroup.com.
Jonas Prising - Chief Executive Officer & Director: Thanks, Mike. We had a solid performance in the fourth quarter with revenue up 7% in constant currency to $5 billion. Our operating profit came in at $181 million, an increase of 5% in constant currency. During this quarter, we took a restructuring charge, which Mike will discuss in more detail later. Excluding this charge, operating profits were $197 million, an increase of 14% in constant currency. Our operating profit margin was up 20 basis points before the restructuring charge. And this brought our reported earnings per share to $1.66, an increase of 13% in U.S. dollars, or 24% increase in constant currency. Excluding the restructuring charge and other non-recurring items, earnings per share were $1.68, up 25% in constant currency. On a full year basis, revenues were up 7% in constant currency to $19.3 billion. And earnings per share were $5.40, an increase of 17% in constant currency. Currency was certainly a headwind for us all the way through 2015. But as many of you know, it is mainly translation effect for us as our cost and revenues are matched in each country where we do business. As we mentioned in our third quarter call, we expected to see the external market environment to be choppy in many places in the world, and that is exactly what we saw during the quarter. Indeed, this may be the environment we have to consider the new normal, where geographic regions or different countries within a region move at a different pace, and sometimes direction, with geopolitical events adding to the perceived or real volatility. Our view of where we are today is not significantly different from how we saw things a few months ago. We continue to believe that parts of the global market are experiencing softening market conditions for a variety of reasons, and that the strength of the global economy will continue to be uneven, particularly in some countries in Asia and Latin America. Our belief is that Europe overall is still early in its economic cycle, and although it may be bumpy over the near term in some markets, we should still be able to see good growth opportunities in Europe as we move through the economic cycle. We believe the U.S. economy should continue in its slow-growth mode where some sectors, such as manufacturing and energy are continuing to experience a slowdown, but others are doing well. And overall, the environment should still provide us with growth opportunities, and those are the ones that we are focused on. Countries in Asia Pacific and Latin America with significant exposure to a slowing Chinese market are, clearly, finding their going harder than before. But despite this, we had solid performances also in those regions. I've just come back from the World Economic Forum in Davos, Switzerland, where much of the discussion centered on the so-called Fourth Industrial Revolution, which is the title for a notion that we're in a transformative time, thanks to increasing globalization and technological progress with a wide ranging impact of companies, individuals and society at large. Now, some of you on today's call may recall that at the same event six years ago, we coined the term, Human Age, describing the structural changes we saw occurring in many of the 80 countries where we operate globally, focusing on the impact of workforce and labor markets, and the importance of leveraging human talent as a key competitive differentiator in any organization's strategy. That discussion has now moved into the mainstream of topics on the minds of corporate leaders, policymakers and individuals. The increasing impact of the structural changes was widely discussed in Davos as was the expectation that we now live in a world of certain uncertainty, where increased volatility may be here to stay, and finally, the understanding of the need for organizations and society to be increasingly agile, so that they are better able to adapt to rapidly evolving environment. The reason I bring this up is that this is precisely the kind of environment and world we have been preparing for and continue to prepare for as a leading global workforce solutions company. Extending our reach to talent with higher level skills through Experis, helping companies stay flexible with Manpower, and leveraging all of our trusted and connected brands to help companies fill their permanent recruitment positions globally. Finally, we are also applying our significant capabilities and expertise in our Solutions business, as companies are looking for partners that can take over entire activities related to acquiring talent. And Right Management can assist them also in redeploying and developing talent. It was energizing to hear the conversations on these topics, and it gives us confidence that whatever volatility may be ahead of us in the short-term, we are very well positioned to support our client companies to weather this kind of environment and be an increasing part of the solution they are looking for as they move forward. As we have said before, this is certainly not an ideal situation in terms of overall global economic growth. But we believe this environment can still present us with good opportunities for profitable growth. ManpowerGroup is a strong and trusted partner that can help guide companies through this uneven global market, and that's what we're focused on coming into the new year. From what we hear from our clients right now, we believe we are seeing economic growth expectations softening in a number of markets, but in many cases still progressing compared to the prior year, both in terms of economic growth and with expectations of a modestly-improving labor market in Europe, North America and parts of Asia and Latin America. At this time, we don't see any signs of a broad-based global deceleration and downturn. In this environment, we'll stay focused on generating profitable revenue growth with disciplined pricing and strong productivity management so we can drive operational performance improvement even if global market conditions continue to be patchy and uneven, and markets improve only at a modest pace. And, of course, ready to change our stance should the outlook change in either direction. Mike and I will provide some more details and thoughts on our view of the market as we go through the rest of the call. Now, I would like to thank the ManpowerGroup team for a good performance in 2015. We have now shifted our focus on continuing to make progress in the new year, building on what we accomplished in 2015. And with that, I'd like to turn it over to Mike for some additional information and detail on the segments.
Mike Van Handel - Executive Vice President & Chief Financial Officer: Thanks, Jonas. As Jonas mentioned, we had a very good performance in the quarter with operating profit growth of 14% in constant currency excluding restructuring charges on 7% constant currency revenue growth. This good performance resulted from good margin expansion with the operating profit margin before restructuring charges being up 20 basis points over the prior year and 20 basis points over the midpoint of our guidance. Revenue growth came in as expected, up 7% in constant currency, or 4% on an organic constant currency basis. On an average daily basis, the organic growth rate is 3%, slightly softer than the 4% we saw in the third quarter. The fourth quarter results include a handful of unique items which I'd like to unpack for you to help you better understand how our reported results compare to our forecast for the quarter. On a reported basis, earnings per share were $1.66 in the quarter or $0.15 better than the midpoint of our guidance of $1.51. Importantly, our operational performance was $0.06 better than expected. This outperformance resulted from a higher staffing gross margin, especially due to strong price discipline in France and strong productivity combined with SG&A expense control. Also favorably contributing $0.12 to the quarter was a lower-than-expected tax rate. Our income tax rate on recurring pre-tax earnings was 31.8% versus our forecast of 36.5%. This lower-than-expected tax rate was primarily due to the U.S. Congress approval of the Workers Opportunity Tax Credit for 2015 in December. As a result, we recorded a full-year benefit of the WOTC tax credit in the fourth quarter. Currency was a bit more negative than what we anticipated, reducing our earnings per share by $0.16 versus a forecast of $0.15 as the euro and a few other currencies weakened relative to the dollar as we made our way through the quarter. After considering these items, we end up with earnings per share before non-recurring items of $1.68. Our non-recurring items were a net charge of $0.02 per share. This was comprised of restructuring charges of $0.17 per share and other income items of $0.15 per share. The restructuring charges were $16.4 million before tax or $12.8 million on an after-tax basis. These charges relate to integration and severance costs across a number of markets as we adjusted our cost base to reflect current revenue levels and enhancements in productivity. These charges will be recovered through cost savings in the first half of 2016. Recorded in other income were gains of $11.5 million, which had minimal associated income tax. These gains relate to the sale of an investment and a favorable foreign currency impact on an income tax settlement. Our gross profit margin was 17.2%, up 20 basis points over the prior year and at the high end of our guidance range. Our overall staffing gross margin was stable with the prior year and growth in permanent recruitment added 10 basis points to the gross margin. We continue to see good opportunities in permanent recruitment with fees up 11.8% in constant currency in the quarter, representing 13.1% of total gross profit. On a full year basis, permanent recruitment fees were at record levels, coming in at $460 million or 14% of gross profit, an increase of 15.8% in constant currency over the prior year. Now, let's have a look at our gross profit by business line. During the quarter, our Manpower brand comprised 63% of total company gross profit, Experis comprised 21%, ManpowerGroup Solutions comprised 11%, and Right Management comprised 5%. Once again, we saw the highest growth in our higher value solutions offerings within ManpowerGroup Solutions and Right Management and our more highly skilled professional staff under the Experis brand. During the quarter, our Manpower brand achieved constant currency gross profit growth of 5% over the prior year, slightly better than what we saw in the third quarter due to additional growth from acquisitions. Within our Manpower brand, approximately 60% of the gross profit is derived from light industrial skills and 40% is derived from office and clerical skills. Gross profit growth from light industrial skills improved to 7% in constant currency, primarily as a result of the improving growth in the more industrial French market. Our Experis brand gross profit grew 17% in constant currency. This strong growth was aided by the Veritaaq and Greythorn acquisitions. On an organic basis, gross profit was up 4% in constant currency. Our Experis brand had a very strong business line contribution as a result of productivity enhancements and strong expense controls, resulting in business line contribution up 36% in constant currency or 20% on an organic basis. Our ManpowerGroup Solutions included our global market leading RPO and MSP offerings as well as our Proservia technology support business. Gross profit growth in the quarter was strong, up 10%, and was primarily driven by strong performance in our MSP and Proservia businesses. Our Right Management business also had a very strong growth in the quarter of 15%. I'll discuss this further in my segment reviews. Our SG&A in the quarter was $670 million compared to $676 million in the prior year. SG&A was favorably impacted $58 million by currency, which was partially offset by an increase in SG&A from acquisitions of $30 million, restructuring charges of $16 million, and an organic cost increase of $7 million or 1%. SG&A costs were very well controlled in the quarter and, on a constant currency basis, improved 20 basis points from 13.2% to 13%. We continue to relentlessly focus on driving efficiency and productivity through our delivery model, which includes our branch office network, our on-sites and our central fulfillment. Next, I'd like to discuss the operational performance of each of the segments. The Americas comprised 23% of the company's revenues with revenue in the quarter of $1.1 billion. This represents year-over-year growth of 4% in constant currency, right in line with expectations. OUP before restructuring charges of $3.2 million was $59 million, an increase of 12% in constant currency over the prior year. OUP margin was strong, improving 50 basis points to 5.2% before restructuring charges. This margin expansion was primarily driven by improved gross profit margin from temporary staffing as well as continued growth in permanent recruitment of 10% in constant currency. SG&A expenses were well controlled, up 2% over the prior year in constant currency. The U.S. is the largest country in the Americas segment, representing 66% of segment revenue. Revenue in the U.S. was $749 million, a decline of 5% compared to the prior year, which was in line with our expectations. This top-line contraction is a continuation of softness in demand from our manufacturing clients. This is not surprising given the overall macro weakness of the U.S. manufacturing economy. Margin performance was strong again in the fourth quarter with OUP margin improving 50 basis points to 5.6%, excluding $2.6 million of restructuring charges in the quarter. This margin improvement was driven by strong price discipline and effective management of healthcare and workers' compensation costs. Permanent recruitment also added to the margin performance, increasing 12% from the prior year. Within the U.S., the Manpower brand comprises 43% of gross profit. Average daily revenue from the Manpower brand was down 9% in the quarter, which is fairly stable throughout the quarter and similar to the contraction we saw in September. Our Experis brand in the U.S. contributed 39% of gross profit in the quarter and was flat with the prior year. Within Experis in the U.S., IT skills comprise 70% of revenues with finance, engineering and healthcare comprising the balance. Our U.S. IT revenue was up 3% over the prior year, but this was offset by contraction in both the engineering and finance areas. Our ManpowerGroup Solutions continues to see good demand with gross profit growth of 9% in the quarter. Our clients continue to look to us for more sophisticated staffing and workforce solutions as they're driving greater productivity and agility into their workforce. Our revenue growth has been challenging throughout the year in the U.S. OUP performance has been quite strong. On a full-year basis, OUP is up 17%, excluding the fourth quarter restructuring charge on revenue contraction of 3%. Again, this was a result of strong price discipline throughout the year combined with strong growth in permanent recruitment, which was up 23% for the year. Our Mexico operation delivered another strong performance in the quarter with revenue on OUP growth of 18% in constant currency. While gross margins were lower on a shifting business mix to larger key accounts, we're able to offset that compression with improved productivity and strong SG&A leverage. Revenue in Argentina was up 46% in constant currency in the quarter. While much of this growth was driven by high inflation, we continued to see improving volume growth with billable hours up 14% over the prior year. Revenue in Other Americas was up 21% in constant currency. This was partially driven by the Veritaaq professional acquisition in Canada we had announced last quarter. Excluding this acquisition, revenue in Other Americas remained strong, up 17% in constant currency. This was driven by good organic growth in Canada of 9% in constant currency and exceptional growth in Central America of 20% in constant currency. Revenue in Southern Europe came in at $1.7 billion, up 9% over the prior year in constant currency, which is in line with expectations. OUP increased 15% in constant currency to $93 million. The OUP margin was up 20 basis points to 5.3%. This expansion of OUP margin was primarily due to SG&A leverage as gross profit margin was stable with the prior year. Our French business, which is about two-thirds of the Southern Europe segment, saw improving revenue trends in the quarter. Fourth quarter revenue growth was 6% in constant currency, an acceleration from the 2% growth we saw in the third quarter. On a monthly basis, revenue growth was strongest in October, up 7% in constant currency, while November and December were each up 5%. Margin performance in France is very strong with laser focus on price discipline and continued strong growth in permanent recruitment, which is up 11% in constant currency. Costs were well controlled, resulting in good SG&A leveraging and OUP up 11% in constant currency, a 30 basis point OUP margin improvement. Revenue trends began 2016 where they left off in December with January growth in the mid single-digit range. As I mentioned on previous calls, we do have a few direct cost increases in France as we enter the New Year, the largest of which is healthcare costs for our staffing associates. We expect this will put some pressure on first quarter gross margins and operating margins in France. Revenue growth in Italy slowed from the prior quarter, but was still healthy, up 20% in constant currency. Contributing to the slower growth rate was the conclusion of the Milan Expo in October. While the market continues to grow, we are also seeing the impact of strong prior-year comparables come into play. As such, as we look into 2016, we believe the Italian market will be driven by good secular trends as well as cyclical recovery but at growth rates lower than what we experienced in 2015. Our Spain operation had another very nice quarter with revenue up 24% in constant currency and OUP up 51%. In Spain, we continue to see a good development of our professional services and solutions business. Revenue in Northern Europe came in at $1.4 billion, an increase of 6% in constant currency. This was helped with the 7S acquisition in Germany. On an organic basis, revenue growth was down 2% as we continue to see mixed performances across the region. OUP came in at $40 million in the quarter or $49 million before restructuring charges. OUP was up 1% in constant currency and OUP margin was down 10 basis points before restructuring charges. Restructuring charges in the quarter primarily relate to severance costs incurred in connection with the integration of the 7S acquisition in Germany and staff reductions in the Nordics to better align our expenses with lower revenue levels. Our largest operation in Northern Europe is the UK, representing 36% of segment revenues. UK revenues were down 5% in constant currency. This decline is primarily driven by decreasing demand from one of our large clients, as I noted on the third quarter call. Excluding the impact of this client, revenue was slightly below the prior year. While we have seen continued good growth in the Experis brand, up 5% over the prior year, our Manpower Staffing business is seeing slightly softer demand from our larger key accounts. Permanent recruitment remains healthy in the UK, up 18% in constant currency over the prior year. Our business in the Nordics was down 1% in constant currency, as we continue to see contracting market growth in Norway, given its dependence on the oil economy. Revenue growth continued in Sweden, however, at a slightly slower pace than we saw in the third quarter. Revenue growth in Germany included the impact of the 7S acquisition for the full quarter and was up 69% in constant currency. On an organic basis, revenues were up 12% in constant currency, an improvement from what we had seen earlier in the year. Revenue in the Netherlands and Belgium was up 1% in constant currency. We expect improving growth in both of these markets in the first quarter, especially in the Netherlands where we anniversary a few client losses that occurred in early 2015. Revenue growth across other markets in Northern Europe was down 2% in constant currency, with very strong growth in Poland, being offset by contraction in a number of smaller markets, including Russia and Austria. Revenue in Asia Pacific Middle East was up 12% in constant currency to $579 million. This includes the revenue from the Greythorn acquisition in June and, therefore, on an organic basis, revenues increased 6% in constant currency. OUP was $18 million in the quarter or $21 million before restructuring charges, up 7% in constant currency. The $3 million restructuring charge primarily relates to the integration of our Greythorn business in Australia. Revenue growth trends in Japan remained stable, up 1% over the prior year in constant currency. Revenues in Australia and New Zealand were up 30% in constant currency, or 4% on an organic basis. While organic growth has become positive in Australia, we still see a very challenging market with the economy being impacted from lower demand in commodities. Revenues in other markets in Asia Pacific Middle East were up 11% in constant currency. This growth was primarily driven by strong double-digit growth rates in China, India, Korea and Taiwan. Our Right Management business had a strong performance in the quarter with revenue up 8% in constant currency to $70 million. OUP came in at $10 million, an increase of 76% in constant currency and OUP margin was 14.6%. This strong performance was primarily driven by growth in the Americas in career management resulting from greater demand in the oil and gas industry and several new client wins. Next, I'd like to discuss our balance sheet and cash flow. Free cash flow defined as cash from operations less capital expenditures was very strong in the quarter at $209 million. This brings our total free cash flow for the year to $459 million. Our working capital and accounts receivable collections were well managed during the year, which helped drive strong cash performance. Cash used for acquisitions in the fourth quarter was $19 million, bringing the total for the year to $260 million. During the quarter, we purchased 657,000 shares of stock for $57 million. This brings our total repurchases for the year to 6.6 million shares or $580 million. As of the end of the year, we have 5.3 million shares remaining for repurchase under the 6 million share program approved in October of 2015. Our balance sheet was very strong at year-end with cash of $730 million and total debt of $855 million, bringing our net debt to $125 million. Our debt ratios are very comfortable at year-end with total debt to EBITDA just over 1 time and total debt to total capitalization at 24%. Our debt and credit facilities did not change in the fourth quarter. We had a euro note for $350 million outstanding with an effective interest rate of 4.5% maturing in June of 2018 and a $400 million euro note with an effective interest rate of 1.9% maturing in September of 2022. In addition, we have a revolving credit agreement for $600 million, which was unused at the end of the year. Next, I'd like to make a few comments regarding our outlook for the first quarter of 2016. Before I do, I should mention that we have reclassified a few smaller countries, representing approximately $400 million in annual revenue from our Northern Europe segment to our Southern Europe segment effective January 1 of 2016. We have restated the historical quarterly segment data for 2014 and 2015, which information can be found in our 8-K filed today. While this reclassification does not have a significant impact on the segments, I should note that my segment guidance is in line with the new classification. Overall, we see revenue growth in the first quarter ranging between 5% and 7% in constant currency. At the midpoint, this growth is just slightly softer than the fourth quarter on an average daily basis. We expect revenue growth in the Americas, Northern Europe and Asia Pacific Middle East to be similar to the fourth quarter growth rates on an average daily basis. We expect revenue growth to be slightly softer in Southern Europe in the first quarter of this year compared to the fourth quarter of last year, as a result of more difficult prior-year comparable growth rates in Italy and Spain. We expect revenue growth in France to be slightly stronger than the fourth quarter, but this is a result of an additional billing day this year, compared to the prior year in the first quarter. On an average daily basis, we expect revenue growth rates to be similar in France. Based upon current exchange rates, we expect foreign currencies to negatively impact consolidated revenue growth by about 4%. Therefore, on a U.S. dollar basis, our revenue growth is expected to be between 1% and 3%. We expect our gross profit margin to be about in line with the prior year. Our gross margin should be helped by continued good growth in permanent recruitment; I expect this to be offset by a lower staffing gross margin as a result of the new healthcare costs for our staffing associates in France. We expect our operating profit margin to range between 2.6% and 2.8%, which is in line with the prior year, and our tax rate to be 40%. This will result in projected earnings per share ranging from $0.87 to $0.95 with a negative impact from currency of $0.04. At the midpoint of our guidance, earnings per share is up 14% in constant currency. We've assumed weighted average shares outstanding of 74.3 million, which takes into account all share repurchases through the end of 2015. As always, this earnings guidance does not consider any additional share repurchases or other non-recurring items, which could occur in the first quarter. Lastly, I'd like to give an update on our roadmap to 4% EBITDA margin target that we had presented at our Investor Briefing in February of 2013. Since that time, we have increased our EBITDA margin 140 basis points from 2.4% to 3.8%. As contemplated in the roadmap, we have organically increased gross margin by 30 basis points. We recalibrated our cost basis in 2013 by 90 basis points ahead of the 60 basis point target. And lastly, we have improved productivity by increasing SG&A leverage by 20 basis points on organic constant currency revenue growth of 5% since 2012. As some of you will recall, we stated at that time that we planned to get 70 basis point margin improvement on organic constant currency revenue growth of about 15% or $3 billion. With 20 basis points remaining to reach our target of 4%, we are confident that we can do this with less than 10% additional organic constant currency revenue growth. While the 4% target is clearly in our sights and possible this year, we may need some acceleration in our current organic constant currency average daily revenue growth rate of 3% to reach our goal in 2016. With that, I would like to turn things back over to Jonas.
Jonas Prising - Chief Executive Officer & Director: Thanks, Mike. The fourth quarter was a solid quarter for us, exceeding our expectations in a number of areas, and for the year, reaching our highest operating profit margin in the past 20 years. All our brands and offerings made good progress, so solid growth in Manpower, and managed the balance between revenue growth and discipline pricing well. France, Italy, Spain, and Mexico are countries that come to mind where we saw excellent Manpower performance during the year. Experis was the fastest growing of our brands, also helped by smaller acquisitions that position us well in a number of important markets such as Canada, Germany and Australia with Sweden picking up speed as well. We have seen a marked improvement in our Experis U.S. IT business and expect to continue to close the gap to market growth over the coming quarters. Our permanent recruitment offering continued to grow rapidly and reached a new record high as a percentage of gross profit and in absolute terms in constant currency. And we are now clearly seen as a provider of choice not only for contingent positions across our brands, but also for permanent positions on a global basis. We have been building these perm capabilities over time and believe that there is still room for more growth in both developed and emerging markets as evidenced by our very strong performances in the UK, Poland, Italy and China. Our Right Management business is the leading global career expert, helping many companies and industries affected by market volatility adjust their workforces, and we saw more activity in some industries in the latter part of the year, with the U.S., Canada and Netherlands doing particularly well. And finally, our Solutions business continued to grow at a double-digit pace. And in light of the changes we see occurring in companies as they evaluate core versus non-core activities, we should be very well positioned with our industry-leading offerings in RPO, MSP and Proservia to provide more of these services to our clients worldwide, as we could see in the strong performances in the UK, France and Peru. As you can tell from our near term outlook, we do see some softening in some markets, but at this time, we don't see this as the beginning of a broad-based global downturn. Europe should have a good chance of seeing better economic growth in 2016 than in 2015 according to most economists I speak with. And for the U.S., there may be some slowing, but not significantly different from where we were last year. Combined, that's where we have 85% of our business. And based on that current assessment, we should be well placed to take advantage of the opportunities that come from companies that are looking for operational flexibility and strategic agility in their workforces. In summarizing the fourth quarter results, we're pleased with our top and bottom line performance, and we remain committed to seizing growth opportunities aligned with our strategies in the new year, achieving good leverage on that growth and continuing to build on our position as the leading global workforce solutions company. The balance of pursuing good revenue growth opportunity with disciplined pricing and strong cost control will continue to be very important. Our strong and experienced management team has experienced different market conditions, and our aim is to improve our performance even under these uncertain conditions. We'll pursue growth opportunities with disciplined pricing, strong execution and focusing on driving profitable growth and creating shareholder value. And we're pleased with our progress during 2015 and are committing to continuing on that path also in 2016. Before we come to the end of our prepared remarks and on a very different note, I'm sure many of you saw the press release we sent out regarding the arrival of Jack McGinnis as our new CFO in a few weeks, and with Mike announcing his decision to retire as CFO, while staying in the company at least through 2016 to ensure a successful transition and handle Investor Relations as well. As you know from our long and successful track record, we take succession planning very seriously, and this is also how we've crafted the CFO transition from Mike to Jack, ensuring that both our external and internal stakeholders get the benefit of a thoughtful, deliberate and well-planned succession, providing continuity and consistency of strategy. I'm very pleased that Jack will be joining the team and I'm confident he will make a great addition to the company. Now, many of you have known Mike in his CFO role for a long time, and are fully aware of his great contributions to our company over almost three decades, having exemplified outstanding strategic and operational leadership in his quest to improve financial performance and to create shareholder value. The good news is that Mike will be active in the company going forward, helping Jack to get up to speed in his new role, as well as handling Investor Relations. And now, Mike, over to you for a few words as well.
Mike Van Handel - Executive Vice President & Chief Financial Officer: Thank you, Jonas. Well, after more than 75 of these quarterly earnings calls, I have decided now is the right time for me and the company to hand over the CFO reins. I feel very privileged to have served as the company's CFO for the past 18 years and partnered with three of the company's four CEOs during my time, three CEOs that I regard as the best innovators and strategic thinkers in our industry. I'm excited to have Jack join the team, and I look forward to working with him over the next several months to ensure a smooth transition. With Jack's experience and background, as well as a strong group of finance professionals in the company, I'm confident that we won't miss a beat. As Jonas mentioned, in my new role, I'll also be responsible for Investor Relations. So I will continue to be your key contact going forward and I look forward to our many discussions ahead. With that, I would now like to open the call for Q&A. Operator?
Operator: Thank you. One moment for the first question. Your first question comes from Andrew Steinerman with JPMorgan. Please go ahead.
Andrew Charles Steinerman - JPMorgan Chase & Co.: Mike, let me be the first to congratulate you on your professional evolution. Of course, I've enjoyed our dialog for 18 years and will enjoy our dialog going forward as well. I wanted to ask you about Manpower demand from French industrials, just given your U.S. comments about manufacturers?
Jonas Prising - Chief Executive Officer & Director: At this point – Andrew, this is Jonas.
Andrew Charles Steinerman - JPMorgan Chase & Co.: Yeah.
Jonas Prising - Chief Executive Officer & Director: At this point, Andrew, we're seeing reasonable demand, somewhat improved in the fourth quarter compared to what we saw in the third quarter. And you might have seen the GDP growth numbers from France softened a little bit compared to expectations in the fourth quarter. And what's interesting to note is that softening came primarily from consumer demand. But actual levels of industrial investment reached the same levels as the levels they saw in 2008, so a marked improvement in terms of their outlook and confidence. So, I would say, we saw improvement in the fourth quarter and stability coming into the first couple of weeks here in 2016.
Andrew Charles Steinerman - JPMorgan Chase & Co.: And do you think the main difference is the strong dollar?
Jonas Prising - Chief Executive Officer & Director: We can certainly see that global companies in the U.S. are struggling with the strong dollar because everything – as you can tell from our own results, translation effect of something made here coming into Europe makes it much, much more expensive. So, it certainly impacts them quite significantly. That's what we see from those companies doing the exports from here.
Andrew Charles Steinerman - JPMorgan Chase & Co.: Thanks, Jonas. Congrats, Mike.
Mike Van Handel - Executive Vice President & Chief Financial Officer: Thanks, Andrew.
Operator: Thank you. Your next question comes from Mark Marcon with R.W. Baird. You may proceed.
Mark S. Marcon - Robert W. Baird & Co., Inc. (Broker): I'd also like to add my congratulations. Mike, it's been a great friendship and look forward to continue working with you, and congratulations on everything you've done. You've just been an outstanding CFO in this space and I'm sure Jack will get the best training possible to maintain the strong performance you've had. I'm wondering if you can talk just a little bit more with regards to the U.S. in terms of what you're seeing on the industrial side and how it's evolving month to month and what sort of outlook you're hearing from your clients, because the margin performance has been really impressive relative to the revenue performance. So, can you talk a little bit about that and how sustainable that is? And then as a follow up, it's encouraging to hear that the Experis on the IT side is doing better in the U.S. So, I was just wondering if you could talk a little bit about what's driving that.
Jonas Prising - Chief Executive Officer & Director: So, maybe I'll start, Mark, and then I'll ask Mike to give some more color on the evolution month to month. The good news is that we've seen – we saw manufacturing – the manufacturing part of our business start to decline at the beginning of 2015, but it's stabilized. It's still weak in terms of where we are in the fourth quarter, but it's stabilized compared to the third quarter. So, it appears not to be getting any worse, which is a good thing. And as you note, we've applied clearly very good pricing discipline, and made sure that we've maintained our margins well and managed costs and other – direct cost drivers of our business there very well, so, the profitability has improved. Now, one of the tricky things in a situation like this with weak demand is, of course, to find the right balance, in particular, I'm referring here to Manpower in the U.S. between pricing and volume. So, we think that there is still going to be opportunities for us to tweak that and understand whether we found the ideal balance between that as well as look at opportunities from a Manpower perspective on the SMB side. So, those will be the two areas that I think we're still working on here in U.S., but we're very pleased with the progress on a margin and a profit perspective. It's been a very good year from that perspective. Mike, would you like to add something around the month-to-month?
Mike Van Handel - Executive Vice President & Chief Financial Officer: Yeah. In terms of month-to-month, I think Jonas captured it quite well. We really saw things stabilize from September onwards. For the most part, we're running down year-on-year in the U.S. about 5% fairly consistently. December was down about 6%. So, just a little bit worse, but you've got the holidays in there, so sometimes that creates some noise. And as we look to the first quarter for the U.S., we expect still to see some contraction, but a little bit less contraction. The prior comparable numbers gets slightly easier, that may help a little bit, but it does look like, at least, for the moment, things have stabilized in terms of where we are and hopefully, we can start planning more opportunity for growth going forward, overall as well. The other element well amounted is on the permanent recruitment side. Permanent recruitment still stayed strong in the U.S. as well. Year-on-year, it did come down a little bit from what we saw in the third quarter, but still seeing very good opportunities on permanent recruitment overall which, as we've discussed in the past, is really not just a cyclical trend, but also a secular trend as more and more of our clients are looking to use us for fulfilling their permanent recruitment needs. So, I think, we continue to see good opportunity there in the U.S. and globally, frankly.
Jonas Prising - Chief Executive Officer & Director: And Mark, just to close off on your follow-up there on Experis IT, we know we've been behind market for some time and we have now – we're pleased to see that we're starting to make some progress and it's really a question of finding the right pricing and making sure we get the recruiter productivity and the delivery models going in a better way and we're starting to see the early effects of that. So, we're pleased to see that progress.
Mark S. Marcon - Robert W. Baird & Co., Inc. (Broker): Great. Thank you.
Operator: Thank you. Your next question comes from Jeff Silber with BMO Capital Markets. You may begin.
Jeffrey Marc Silber - BMO Capital Markets (United States): Thank you so much. I wanted to delve a little bit further into the restructuring charges that you disclosed. Can you give us a little bit more color as to what they were, specifically which regions we saw the most impact and what kind of cost savings we should expect from this going forward? Thanks.
Mike Van Handel - Executive Vice President & Chief Financial Officer: Sure, Jeff. Yeah. So, the total amount of the restructuring charge in the quarter was $16.4 million. In terms of breaking that down by segment, about $9 million fell in Northern Europe, $3.2 million in the Americas, about $3 million in Asia Pacific and Middle East, and $1.3 million in Right Management. So, Northern Europe had the biggest piece of that. It's a combination of costs related to some integration of acquisitions across some of these regions, as well as just realigning our cost base, particularly in countries like in Norway, where we are seeing some contraction. So, in terms of the nature of the cost, majority of it would be severance-related cost. But there are some costs related to some office closures, too. We did have a handful of office closures that we are completing, so we do have a combination. In terms of recovering that expense back in the first half of 2016, we should recover that entire $16.4 million investment back, and, of course, that'll be worked to our favor, as well, for the balance of the year and into future years. So, we feel good about how we're positioned, and I thought it was the right time to readjust our cost base in a couple of these markets.
Jeffrey Marc Silber - BMO Capital Markets (United States): And do you have an estimate on the annualized cost savings from these moves?
Mike Van Handel - Executive Vice President & Chief Financial Officer: Yeah. So, if you take it on an annualized basis, it's going to run roughly double that amount because the first half is $16.4 million, so you'd get yourself close to that $30 million range on a full year basis.
Jeffrey Marc Silber - BMO Capital Markets (United States): All right. Great. And just if I can squeeze in a couple of quick numbers question. The 40% tax rate guidance for the first quarter, is that something we should use for the year and what are you budgeting for capital spending this year? Thanks.
Mike Van Handel - Executive Vice President & Chief Financial Officer: Sure, Jeff. Yeah. First quarter, we always have a higher tax rate just because with it being a lower pre-tax quarter, the effective tax rate is a bit higher due to the permanent items that fall into the tax rate. If you look at the rate on a full year basis, I would expect it to fall somewhere between the 37% and 38% range. So, I guess if you use a midpoint there, 37.5%, that's probably a good starting point there. Of course, with a global company, there's always a number of factors that play into that. But I'd say that's the best estimate I could give you for now. And in terms of capital expenditures, I would expect we'll continue on the path that we've been on the last couple of years, which should be in the range of $50 million to $55 million is what I would expect.
Jeffrey Marc Silber - BMO Capital Markets (United States): All right. Thanks. And again, Mike, thanks for all your help.
Mike Van Handel - Executive Vice President & Chief Financial Officer: Yes. Thanks, Jeff.
Operator: Thank you. Your next question comes from Sara Gubins with Bank of America Merrill Lynch. You may proceed.
Brent Navon - Bank of America Merrill Lynch: Hi. This is Brent Navon in for Sara Gubins. Just wanted to dive into Northern Europe. There's a lot of puts and takes with acquisitions in various countries. And can you maybe walk us through some of the drivers of your revenue guidance within that geography?
Mike Van Handel - Executive Vice President & Chief Financial Officer: Yeah. So, we do have obviously a number of countries there. And I think as you look at what we're seeing, for the most part, Northern Europe, we expect revenues overall to be – organically run about the same in the first quarter as what we saw in the fourth quarter, so really a continuation. If you look at some of the pieces within there, the UK still a – I think, still a good market, where we've seen a little bit of softening on the Manpower side of the business, Experis is still running quite nicely there, but the Manpower side is particularly amongst our larger clients. We've seen a little bit of softening there, and we did see some contraction in the UK market as it relates primarily to one of our clients pulling back in terms of demand resulting in contraction in the mid-single digits in the UK. We expect that to continue in the UK as we get into the first quarter. And then looking at other markets, Germany we think will still continue on the path it's been on, which has been good growth for us. In the fourth quarter, it was up 12% overall, about 8% on an average daily revenue basis. Get to Netherlands and Belgium, we expect to continue to improve and see continued growth there. And then when you get up into the Nordics, we expect that Norway being exposed to the oil economy. We think we'll continue to have some challenges there with negative top line contraction, but overall, still – given the environment, still performing quite well for us despite some of the challenges. So, that's in a nutshell covering a lot of different geographies, but that's clearly a mixed group in terms of where those economies are, where those staffing markets are. So, we're seeing a bit of a blended performance there. But I would say in terms of our expectations for Q1, fairly similar to the growth that we saw in Q4.
Brent Navon - Bank of America Merrill Lynch: Great, thanks. And just as a follow up on capital allocation, how do you think about the balance between buybacks and M&A? You seem willing to take on a little bit of debt in recent quarters, and is there a peak leverage ratio you'd feel comfortable with?
Mike Van Handel - Executive Vice President & Chief Financial Officer: Yeah. So, we've talked a little bit over the last couple of quarters in terms of capital allocation. I think, overall, our view is that we're maintaining a strong balance sheet, one that would be investment grade from an external rating standpoint overall. Certainly, we do have some room for additional leverage within that rating category for sure. As we think about capital allocation, dividends are first and foremost important to us in terms of maintaining those and increasing those as we have been over the last several years. M&A is something that certainly we watch for opportunities as we look for opportunities, particularly on the professional area to leverage our strength and continue to expand on that side of our business. And so, you've seen us somewhat active this last year in terms of M&A opportunities. But those are kind of opportunistic, so they can be a little bit chunky in terms of how they come into the business and where those opportunities fall. But overall, I would say our primary growth strategy is one of organic growth, not acquisitive growth. But we still look for those opportunities. And then to the extent there's available cash beyond that and beyond just running the business for working capital, we look to share repurchases as a way to get cash back to shareholders. And certainly, you've seen us active in the share repurchase side this year, and I would expect that again going forward just given the fact that our balance sheet is quite strong and fairly delevered at the moment. In terms of overall targets, we don't have a hard and fast rule, a hard and fast target. But I think, overall, we were comfortable in the range of where we've been historically. If you look into the earlier years in 2000 where before the recession, we were in the range of total debt to EBITDA of about 1.5 times or net debt to EBITDA of about 1 times. So we're quite a bit away from that yet, so certainly there's more capacity going forward. So, okay?
Brent Navon - Bank of America Merrill Lynch: Yeah. Thank you.
Operator: Your next question will be Tobey Sommer with SunTrust. You may proceed.
Tobey Sommer - SunTrust Robinson Humphrey, Inc.: Thanks. I was wondering if you could give us some color on RPO and the growth you're seeing there in terms of new adoption as well as maybe expansion of existing relationships. And then I had one follow-up on the IT growth in the U.S. Is that a change in the market in demand or a function of internal execution improvement? Thanks.
Jonas Prising - Chief Executive Officer & Director: Hey. Hi. Good morning, Tobey. I'll start with the last question first, and I think that's – it's not really a change in the market. It's our improved execution and seeing the results from some of the things we've been doing to improve the business so we get back to market growth within the Experis IT business here in the U.S. As it relates to the RPO business, we've seen some very good growth outside of the U.S. where the U.S. should be considered as a reasonably mature market today; certainly much more mature than it is in Europe. And then a number of RPO programs that are also now merging into some of the countries in Latin America and Asia Pacific. So I would characterize the market as being reasonably mature in the U.S., but still with some very good growth opportunities here, much less mature in Europe, which is why we've seen really the leveraging of our best practices and our capabilities into that region with some very good growth in 2015, and then also with some nice growth in emerging markets. So we think that we still have some great opportunities within the RPO business both here in the U.S. as well as elsewhere in the world as this is something that companies are clearly interested in because we take over what is a non-core activity for them and certainly a core activity for us, and we, of course, have the capabilities not only to cover these programs on a national basis but also regionally as well as globally, and that puts us in a very unique category of providers of that kind of offering and solution.
Tobey Sommer - SunTrust Robinson Humphrey, Inc.: Thank you, Jonas. And congratulations, Mike.
Mike Van Handel - Executive Vice President & Chief Financial Officer: Thank you.
Operator: Your next question will be Anj Singh with Credit Suisse. You may proceed.
Anjaneya K. Singh - Credit Suisse Securities (USA) LLC (Broker): Hi. Good morning. Thanks for taking my questions and congrats again, Mike, on the transition. Wish you the best of luck in the new role and in the future. Just a question on your acquisitions. You had several acquisitions in 2015. Just wanted to get a sense of how they're performing versus your expectations in these early days. Are they generally performing in line? Were these restructuring charges anticipated when you first bought them? Just any surprises, I guess, that you'd call out there?
Mike Van Handel - Executive Vice President & Chief Financial Officer: Let me give some initial reactions and then I'll give Jonas the opportunity to respond as well. I think when you step back and look at the acquisitions, there were primarily three acquisitions that we did of size, which was Greythorn in Australia, which was on the IT front and helped drive our IT presence within Australia. Then Veritaaq in Canada, which we – Greythorn was completed in June, Veritaaq was completed in September – and that was on the IT front as well and expanded our IT presence in Canada. And then 7S in Germany, which was also completed at the end of September. And that was the largest of them all, and that provided some specialty business along a number of fronts, including IT as well as some SMB business as well, so a good mix of business. And I would say, so far out of the blocks, all are going extremely well in terms of – relative to forecasted performance, they've all have met or exceeded forecast performance so far this year. The integrations, in all case, are going well. It's still early days in terms of – particularly in terms of the ones that we acquired in September. So we still have ways to go, but so far so good. And in terms of integration costs, anytime you do these type of acquisitions, there are always opportunities for cost synergies and that type of thing. So we did have some expectations in terms of some integration. You might see some additional integration costs as we complete the process coming through next year, or I should say this year 2016. But so far, it's been pretty much in line with expectations. Jonas, anything you want to add to that?
Jonas Prising - Chief Executive Officer & Director: No. I think you've pretty much covered it, Mike. And as you mentioned, Mike, earlier in the call, I mean, these are tuck-in acquisitions we make to strengthen our business in certain geographies, especially on the professional, and in Germany's case, not only on the professional but also solutions on the SMB side. And they've been very good for us in those markets because we have now a much stronger presence with those specializations and those skill sets that we know our clients are looking for. So they're going to be really additive to our global network.
Anjaneya K. Singh - Credit Suisse Securities (USA) LLC (Broker): Okay. Thank you. And as a follow-up, could you just talk a little bit about the competitive environment across your different regions? Trying to get a sense of if there's been any change in the pricing behavior or aggressiveness from your competitors?
Jonas Prising - Chief Executive Officer & Director: I would say that at this point, the pricing behavior, overall, is still rational, although in some geographies and in deal-specific cases, it can be quite aggressive. So that's something that we are very aware of. And I think we've managed that balance between pricing discipline and volume very well during 2015. Now, as I mentioned earlier to a previous question, one of the areas that we are looking to make sure that we have the right balance is in the U.S. on the Manpower side specifically where, clearly, we're seeing the manufacturing slowdown come in. And we want to make sure that we participate and that we are at the market rate there. So that's something that we're looking into to make sure that we strike the right balance between volume and pricing. But, overall, you know us as being very pricing disciplined. We want to make sure that we provide value and that we get paid for the value that we provide and the strategic flexibility and operational agility to our clients. So we're very pricing disciplined, and I think our results in 2015 have shown that discipline come through.
Anjaneya K. Singh - Credit Suisse Securities (USA) LLC (Broker): Appreciate the thoughts. Thank you.
Operator: Your next question will be Paul Ginocchio with Deutsche Bank. You may proceed.
Paul L. Ginocchio - Deutsche Bank Securities, Inc.: Hey, thanks for taking my question. And, Mike, I want to say that there's a number of CFOs where I'd be happy if they were leaving, but I'm certainly not happy you are. It's been great working with you and I'm glad I'll have a chance to speak with you for the rest of the year. Congratulations. I think earlier, Mike, earlier this year, you were a little more confident on that 4% margin target. It seems like on your commentary now you were talking about needing a little bit more revenue growth. Is that, Mike, am I reading that correctly versus, say, six months ago? And is that some of the reason for the restructuring charges? Or is it really just the little bit of deceleration that we're seeing in the top line?
Mike Van Handel - Executive Vice President & Chief Financial Officer: Well, I think in terms of timing, you might feel a little bit different. In terms of conviction, no difference. But in terms of timing, I think I probably earlier in the year thought we might get there a little bit sooner, and that really is all to do with top line revenue growth. So, earlier, first half of the year organic top line revenue growth was in that 5% to 6% range. And now, it's running more in the 3% to 4% range. And it's that organic constant currency revenue growth that we need to get that leverage out into the bottom line. And so, yes, I guess, from that perspective, thinking it might take a little bit longer than I would have earlier in the year, but otherwise, fully expect we'll get there. Still certainly hopeful we can get there in 2016. But as I said in my prepared remarks, it would be good to see a little bit more of that top line revenue growth come through and we'd be able to squeeze a little bit more leverage out of the bottom. But I can tell you, my colleagues and I are focused on that 4%, and we'll be working hard in 2016 to try to get there. And, of course, as we've talked about for years, it's always about getting there in the right way. You can always get to 4% or whatever that margin target is, but you could be wobbly. And when we get there, we want to be there on timbers and on a foundation that we can then excel from there and continue to move on from there. So, that's the plan.
Paul L. Ginocchio - Deutsche Bank Securities, Inc.: And the restructuring charges outside of the acquisition integration, the thought there is maybe that gets you – that helps you a little bit, that $30 million in total cost saves is worth 16 bps to the margin. So that would be a little bit of help, correct? And then was that some of the – and that was some of the thinking?
Mike Van Handel - Executive Vice President & Chief Financial Officer: Yeah. I mean, there'll be a little bit of help. I think that really is just running the business as we run the business. Certainly that does help in terms of trying to meet our target goals. But really, this is a matter of sitting back, looking at each geography as we always do and looking at where our cost structure is and how we align. So, again, as you think about some of those restructuring charges, many of those come into markets that are, in certain cases, just contracting a little bit or not seeing the growth that they once saw. And in some cases, we're seeing some productivity enhancements come through and as a result, have a few excess people in some pockets. So, I think it was – it certainly wasn't with the objective of that's what we need to do to get to 4%, but it certainly helps us, and I think is the more – the necessary and right way in terms of running the business effectively.
Paul L. Ginocchio - Deutsche Bank Securities, Inc.: Great. Congratulations, Mike.
Mike Van Handel - Executive Vice President & Chief Financial Officer: Thanks.
Operator: Your next question will be Tim McHugh with William Blair. You may proceed.
Tim J. McHugh - William Blair & Co. LLC: Yes. Thanks. Most of it's been asked, but I guess just following up on the last question. I was trying to walk through just as we think about 2016 margins, if you have a benefit from the restructuring cost, I guess you lose some because of the healthcare costs and other kind of benefits costs in France. But I know there's also a little bit of boost you get from some of the other regulatory changes there. Can you walk through it all even from an annual basis, I guess, the puts and takes as we offset those and think about what then on an underlying basis the business needs to do for next year?
Mike Van Handel - Executive Vice President & Chief Financial Officer: Sure. Yeah. I can give a few thoughts along that. Obviously, there's a lot to play out for the year. But in terms of entering the year and thinking about opportunities, certainly, of course, first I'll start out, hopeful that we see a little bit more organic revenue growth, albeit, we certainly can manage well in this environment. But that certainly would get a little bit more leverage opportunity coming through. I think from a GP margin perspective, I think you've got a number of elements coming through. I expect that permanent recruitment will still continue to be a good growth opportunity. As we get through 2016, that should add to the overall gross margin. So, I think that's one of the pluses. I think on the negative side would be the overall staffing gross margin. I think we'll be under a little bit of pressure in some markets, particularly France as we have the new healthcare cost for our associates. That said, beginning in April, there is an increase in the subsidy related to the responsibility packed in the family welfare cost that we pay and so that will go down a little bit. Not enough to fully offset some of the healthcare cost, but certainly be helpful. But I think overall, staffing gross margin could be stable to slightly down overall would be my expectation right now in terms of what we're seeing in the competitive dynamics. But that's something, as Jonas mentioned, we are quite price disciplined and we're going to optimize that the best we can through the market. And then the SG&A front is really going to be about continuing to drive productivity, efficiency across the network and we continue to work on our centralized recruiting in our core operations. And so, looking to get some efficiency and productivity there and hopefully have a little bit of top line help, and then that'll drive a little bit of leverage. So, those are the things we're looking to right now. Nothing surprising out of the ordinary, but I think it's just, heads down, strong execution. That's what we're looking for in 2016, and I know we've got the team lined up for that.
Tim J. McHugh - William Blair & Co. LLC: Great. Can I just – can you quantify at all maybe even the net impact of the healthcare cost versus the family benefit I guess you get in France? I guess you said it would partially offset each other, but I guess what's the net drag you have to overcome for the year?
Mike Van Handel - Executive Vice President & Chief Financial Officer: Yeah. We're still working through that, it all has to do with the eligibility of the workforce. And so, we're making some estimates around there. But I think the – some of the estimates I've heard for the industry overall are on the French revenue, the healthcare costs are in the neighborhood of 50 basis points on French revenue. That sounds like about the right ballpark. On the flip side, responsibility packed will have some benefit to it that could be in the neighborhood of half of that, again, depending upon the profile of our workers in the industry. So, that'd give you a little bit of view on that. I guess the other thing to keep in mind is as we progressed through the year in France, we saw more of the responsibility pack subsidy negotiated into bill rates in the marketplace, and we for the most part had to go along with that in our pricing as well. That was as expected. So that gives us a little bit more headwind in the first half of the year as we face, as we anniversary little bit higher billing rates in the first half of the year and then decrease as we go on a little bit further into the year. So, hopefully that gives you a little bit of flavor of what we might be talking about.
Tim J. McHugh - William Blair & Co. LLC: Okay. Great. Thanks, Mike.
Mike Van Handel - Executive Vice President & Chief Financial Officer: Thanks, Tim. So, if we could have the last question, please.
Operator: Our last question from Manav Patnaik with Barclays. You may begin.
Unknown Speaker: Hi. Thanks. This is Ryan (1:06:58) filling in for Manav. Just a quick question on the 1Q guidance. Can you just tell me what's embedded there for acquisitions?
Mike Van Handel - Executive Vice President & Chief Financial Officer: Yeah. So, we don't have any new acquisitions in there. But in terms of impact from acquisitions, it'd be about a 3% impact on revenue, similar to what we saw in the fourth quarter.
Unknown Speaker: Okay. Thanks. And just so – I know it's the last question, but sorry to ask a kind of high-level impact question. But, I guess, two kind of big-picture things. One, in the French labor reform, there's obviously some things coming in March on kind of announcements and updates. So, is there anything you're looking for there? And just any kind of general commentary on, I guess, the fear or concern that a slowdown in China will affect some of the major European economies just from an output standpoint and kind of what you're hearing from clients today?
Jonas Prising - Chief Executive Officer & Director: So, maybe start with the French question first. And President Hollande actually announced some initiatives to further improve the labor market in France just a couple of weeks ago. And they include training initiatives, so having 500,000 people go through training, more apprenticeships and hiring incentives for smaller companies. And so the French government continues to try and improve the labor markets. And, of course, that's something that we see as being a generally accepted need across political boundaries. But, for now, we've seen the effects of what they have done, and we have been beneficiaries and participants, of course, also to the implementation of those government policies. So, on the whole, I think the French government and the various political parties know they need to improve the French labor market's competitiveness, and those are some of the things that we've seen. As it relates to this year, Mike talked about the healthcare increases that we see coming through as well as the responsibility pack that comes into play in the second quarter. So, those are just things that are moving in and that they had decided on previously. So, there's no news there. So, we would expect no major movements here until the elections two years from now and just continue on the same path. And as it relates to your question on China, depends a little bit on countries. Yes, there are some countries in Europe that are affected by China to a greater degree than others. But, frankly, I think it's more of a – in many places, it's more of a sentiment than being translated into on the ground action because they're also active in many other parts of the world. So, I think that the outlook generally for Europe from an economic growth perspective with the economies I speak with is better than in 2015, although not as high as it would've been had we asked clients maybe at the mid-part of last year. So, it's moderated somewhat, but it's still better than last year. That will be the outlook.
Unknown Speaker: All right. Thanks, and congrats, Mike.
Mike Van Handel - Executive Vice President & Chief Financial Officer: Thank you. So, before we conclude the call, I just want to thank you all for the kind words and congratulatory remarks, and I very much enjoyed working with each of you and look forward to continue to work with you in the quarters ahead. And I also want to just mention, I am supported by wonderful finance colleagues here in Milwaukee and around the world, a terrific group of professionals and just do a fantastic work. So, I would tip my hat to them as well. So, thank you, all. And this concludes the call for today, and we'll talk to you next quarter.